Operator: Good day, and welcome to the CSPi's First Quarter and Fiscal Year 2023 Conference Call. At this time, all participants have been placed on listen-only mode and the floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Michael Polyviou. The floor is yours.
Michael Polyviou: Terrific, thank you, Kelly. Hello, everyone, and thank you for joining us to review CSPi's fiscal 2023 first quarter results, which ended December 31, 2022. With me on the call today is Victor Dellovo, CSPi's Chief Executive Officer; and Gary Levine, CSPi's Chief Financial Officer. After Victor and Gary conclude their opening remarks, we'll then open the call for questions. Statements made by CSPi's management on today's call regarding the company's business that are not historical facts may be forward-looking statements as the term is identified in federal securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate and continue as well as similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be read as a guarantee of future performance or results. The company cautions you that these statements reflect current expectations about the company's future performance or events and are subject to several uncertainties, risks and other influences, many of which are beyond the company's control, that may influence the accuracy of the statements and projections upon which the segment and statements are based. Factors that may affect the company's results, but are not limited to the risks and uncertainties discussed in the Risk Factors section of the annual report on Form 10-K and the quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made and management's good faith belief as of the time with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement, and CSPi undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events or otherwise after the date thereof. With that, I'll turn the call over to Victor Dellovo, Chief Executive Officer. Victor, please go ahead.
Victor Dellovo: Thanks, Michael, and good morning, everyone. This morning, we reported a very strong start to the fiscal year 2023. We grew product sales 63%, service sales 13% and overall total sales 48% over the first quarter of prior fiscal year. When we last talked with you back in December, we noted that each of the business segments were hitting on all cylinders. We continue to execute with similar fashion during the first quarter and increased our overall gross margins by 2.5 percentage points over last year to 31.7%. The revenue and gross margin led to generating $0.21 in earnings per share, while last year, we lost $0.09 a share during the last year's fiscal first quarter. All in all, we are quite proud of our performance to start fiscal 2023. During the past several years, we've stayed the course as we migrated, our business to offer higher value cybersecurity, wireless and managed service offerings. It was easy - it wasn't easy, especially with the onset of COVID-19 pandemic and its related challenges, but our business model is beginning to show both its value to our customers as well as its potential to our shareholders. The demand for our award-winning products and services is building. We are increasing business with our existing customers, while at the same time gaining new customers. Our Technology Solutions business continues to grow during the first quarter. At the same time, our High-Performance Product business revenue more than doubled compared to a year-old first quarter. It was primarily due to sizable customer engagements, but they fully recognized during the quarter. While the timing of potential orders is subject to movement from one quarter to another, our business pipeline is robust, and we are cautiously optimistic that our HPP business will be growing contributor as the fiscal year progresses. In this morning's news release, I noted our business - and the opportunity pipeline we have in front of us is stronger today than any time in our company's history. Our strategy combined with our unique solutions and top-notch engineers are some of the leading factors. We are continuing to fund R&D so that our product continues to provide these unique solutions to our expanding base of customers. The early market reception to these prior capabilities is opening doors for us with companies that have never talked to CSPi before, and we hope to have some positive news over the coming months. While we have a strong momentum and our opportunities in the marketplace continue to expand, we do have hurdles to overcome to realize our full potential. One of the highest such hurdles is the continued supply chain constraints we are experiencing over a few of our suppliers. The problem has gone a lot better since the height of last summer. However, the historic six-week delivery time frame on orders is still being realized. However, the good news is that our customers continue to stay loyal to us. We believe the supply chain issues continue to exist because China is locked down until mid-December, and they are still enforcing very severe COVID-19 quarantines in certain areas. While some of our suppliers have moved their sourcing out of China, they can't ramp up overnight. So we remain hopeful that China will relax its regulations which will reduce supply chain constraints over time. Our revenue growth during the fiscal quarter was driven by a Technology Solution, or TS, business in managed service practice. We generated revenue of $15.9 million, a 40% increase over a year ago TS revenue and we are winning new customers while earning increased business from existing customers. During the beginning of the pandemic, we quickly shifted to this segment because it was shorter sales cycles and sales were not being impacted by restrictions. And we have continued to focus on this segment as it's become a growth engine over the past couple of years. The managed service practice revenue grew 24.4% from prior year and was driven by customers increase - customers' increasing use of the implementation, installation and training capabilities. Our High-Performance Products, or HPP, business had one of its strongest quarters in quite some time and reinforces the settlement that we have been sharing with you over the past year.  We reported revenue of $2.5 million, a significant increase compared to a year ago level of $1.1 million. The primary contributor was from a government contract, which had been expected for some time, and we were just waiting for some critical components to finalize and ship the order. The quarter also included revenue contributions from royalty revenue related to E-2D program as well as Myricom. To summarize, we had a great start to the fiscal year. Our strategy of focusing on higher-margin products and services that meet customer demand is yielding solid progress each quarter, and we have reported two consecutive quarters of 40% plus revenue growth. Despite converting some of the older backlog to revenue, we also booked nearly an equal number, of order - new orders. This demonstrates the strength of our offering. Yet it also highlights our continued engagement in customer loyalty during this period since we had not lost a single order from the backlog. We have successfully transitioned our business during this unprecedented period. And today, we are an active player in the high-growth and margin business. And we believe that we have the resources and wherewithal and strategy to realize our potential. With that, I will now ask Gary to provide a brief overview of our fiscal first quarter financial performance.
Gary Levine: Thanks, Vic. As Victor mentioned in his opening remarks, we had a solid fiscal first quarter with revenue of $18.3 million, a sizable improvement over the year ago fiscal first quarter. We reported gross profit of $5.8 million or 31.7% of sales compared with $3.6 million or 29.2% of sales in the year ago fiscal first quarter. And with each of the revenue sources, we experienced a significant increase in product gross margin compared to the year ago fiscal first quarter level while service gross margin again surpassed 50%. Our engineering and development expenses for the first fiscal quarter were $836,000 compared to approximately $627,000 in the year ago period. As we have disclosed previously, the increase is primarily due to higher personnel costs, which include outside consultants. Our SG&A expenses in Q1 were $3.6 million, up slightly compared to the year ago fiscal first quarter due to increased variable compensation based on higher gross margin profit. We reported net income of $1 million in the first fiscal quarter or $0.21 per diluted share compared with a loss of $366,000 or $0.09 per common share for fiscal 2022's first quarter. The company had cash and cash equivalents of $19.6 million as of December 31, 2022, which is approximately $4.4 million lower as compared to the September 30, 2022 level, primarily due to a previously referenced large financing customer sale recognized in revenue in the fourth quarter of fiscal year 2022, but the cost was paid in the first quarter of fiscal year 2023 during the fiscal '23 first quarter. We have authorized to issue an additional 300,000 shares of common stock as part of our CSPi 2014 employee stock purchase plan. I also want to highlight that the Board of Directors approved a quarterly dividend of $0.03 per share payable on March 14, 2023, to shareholders of record on the close of business on February 24, 2023. The vigilance we have employed over the past couple of years have ensured that we have the resources to execute the multiyear growth strategy of transforming to a cybersecurity, wireless and managed service company. With that, I will turn it over to the operator to take your questions.
Operator: Certainly [Operator Instructions] Your first question is coming from Joseph Nerges at Sergen Investments. Please pose your question, your line is live.
Joseph Nerges: Good morning guys. How are you today.
Victor Dellovo: Hi, Joe very good.
Joseph Nerges: Okay. A couple of quick questions, you mentioned in the press release about HPP having a sizable customer engagement in the first quarter. I'm assuming you don't want to name that sizable engagement. Is that - am I correct in that? This customer - you don't want to name the customer itself.
Gary Levine: Right the customer per se, right.
Joseph Nerges: And you said the supply chain issues are still a little better than they were last year, but still not up to snuff at this point in time. What you experienced, say, two, three years ago?
Victor Dellovo: That's correct. It's gotten a little better, but in certain vendors that we happen to do quite a bit of business. It's not that much better.
Joseph Nerges: Okay. Another one would be on a previous call, you've mentioned about the issues of obtaining new personnel or hiring new people. I assume with the latest amount of announcements on high-tech layouts, is that lessening to any extent? In other words, are you able to find people a little easier than you were, let's say, six months ago?
Victor Dellovo: Well, we haven't really hired anyone else that we're looking for. But I can tell you it's slowed down from people leaving looking for other opportunities. The environment here at CSPi has been really stable, both on engineering, sales and internal support, which is good. I think people are respecting the job positions they currently have. It may be nervous to be the new person at any other organization in case there are layoffs.
Joseph Nerges: Well again, like I said, with the numerous announcements in the last month or so in the high-tech industry, I assume that's helping, let's put it that way a couple of quick things. From your letter, your newsletter - or your year-end letter, you talked about Unified-Communications-as-a-Service growing. And I was just wondering, is that something that you're finding a solid potential down the road here with or?
Victor Dellovo: Yes, the pipeline has been real strong. We closed multiple deals in the quarter, and the pipeline is as strong as it's been. And we're hopeful that there's, some large opportunities - multiyear opportunities that we're trying to close now that will definitely help because all these deals that we are signing are three-year deals build on a monthly basis.
Joseph Nerges: Okay, that sounds good. How about the cruise industry? Has that opened up a little bit in the last, let's say, a couple of months?
Victor Dellovo: Conversations have opened up, which are good, and we are doing some planning right now to roll out either software - security software on the ships or some wireless, but the talks and the engagements are happening on a more frequent basis. Nothing confirmed of exactly when we're going to start doing the work on the ships or with the cruise lines, but the conversational piece has been active lately.
Joseph Nerges: Right, well, just for my information, what were you actually doing prior? Is it Wi-Fi what were you putting in the cruise ships in past years?
Victor Dellovo: Yes, it was the Wi-Fi and it was - it was not only doing the configuration of the wireless, but we were also doing the pre-configuration and we are all doing the site maps. So we'd go on the ship first, and we would do the site maps of where all the APs would be placed or need to be placed. And then we were also doing the NAC solution, which is called ClearPass, and that's made by HP Aruba.
Joseph Nerges: So some of the ships have this capability and some ships are still awaiting this capability. Is that correct, otherwise, you have...?
Victor Dellovo: No, they all have them, but it's just they were upgrading to a better quality of product. Some of those ships have older products and more, older APs and being on a vessel where there's a lot of steel and these APs were a lot more efficient.
Joseph Nerges: Okay. One other point here, and that is you didn't mention - how did the exchange rate - the currency exchange rate affect this quarter versus - previously, we've had some benefits of the currency exchange rate in previous quarters. Was there a negative to this quarter with the currency exchange?
Gary Levine: Yes, yes, we did. We had it was negative this quarter. The dollar weakened against the...
Victor Dellovo: Yes, it was negative of almost $500,000.
Joseph Nerges: Okay. So again, if it was equal, that would be $500,000 more than we would have had down the - on the..?
Gary Levine: Correct.
Victor Dellovo: Correct yes, it was 400 and - I forgot exactly the number. It was $460,000, $470,000 and yes.
Joseph Nerges: And one other point I want to make just basically a statement. There's a great deal of current hype around artificial intelligence between Microsoft buying into it, Google buying into it. And I just want to make the point, that have we not incorporated artificial intelligence in our area platform two to three years ago?
Victor Dellovo: Yes, we did absolutely, yes.
Joseph Nerges: So somewhere I lag. I'm just trying to say, we're not behind the game in that particular aspect, let's say, but again thanks so much guys.
Gary Levine: Thank you, Joe.
Victor Dellovo: No, yes. Thank you, Joe talk to you soon.
Joseph Nerges: Yes.
Operator: Your next question is coming from Brett Davidson with Investletter. Please pose your question, your line is live.
Brett Davidson: Good morning.
Victor Dellovo: Good morning, Brett.
Brett Davidson: I'm not much of a morning person, but let's just say that helps. I just got one quick question. Well, Joe already touched on the cruise business, which I was going to get an update on that. The High-Performance Product, I know you indicated that the supply chain is still an issue. If you could have gotten your hands on everything you needed, what - if you could give me an estimate of what the additional sales volume would look like over there?
Victor Dellovo: On the HPP or the total company?
Brett Davidson: No, the HPP I mean, with the product sales, what the Myricom stuff, what would it have looked like if you guys could have gotten your hands on all the parts that you needed to ship, what you have orders for?
Gary Levine: The backlog is about $4.4 million. Now some of that is related to the ARIA contracts because they've deferred over time. So you keep them in backlog. So that's a portion of it as well as some - we've got product, but the customer doesn't want it. They've got a spread over time. So it isn't that we would get the entire amount at one lump sum, because they are...
Brett Davidson: I mean the supply issue - the supply chain, did that impact your ability to deliver product or not really?
Gary Levine: Yes.
Victor Dellovo: I would say I would say about $2 million - around $2 million, maybe just shy of $2 million would have been able to go in if we had the components to build the systems. Yes, I would say about half and that's at a very high profit margin - I would, bought for it considerably.
Brett Davidson: And I would imagine that the - since the end of the quarter, I got to imagine that pressure is continuing to ease, getting your hands on the parts?
Gary Levine: No, Not.
Victor Dellovo: Not really. No, not at all, to be honest with you, in some cases, it's getting worse, yes.
Gary Levine: No.
Brett Davidson: Oh my God. Well, I hope that swings the other way because, yes, $2 million today sounds better than $2 million next quarter.
Brett Davidson: That's all I got, thanks guys.
Victor Dellovo: Yes. As soon as we can get it shipped out, we do, because we're at the mercy of some of these larger organizations. Thanks Brett.
Operator: Your next question is coming from Mike Price. Please pose your question, your line is live.
Unidentified Analyst: Good morning, congratulations on a good quarter. Can you tell us what the ARIA revenues were for the quarter? And how much of the backlog is ARIA related?
Gary Levine: The ARIA revenue was about, I think, about $140,000 and then the backlog is probably $0.5 million.
Unidentified Analyst: Is this not a big growth area? I mean it seems like there's huge upside with ARIA. Is that not the case?
Victor Dellovo: It is. Yes, it is. It's what we're focusing on and moving forward with it. But as I mentioned on previous calls, the technology once we get in we have a really good chance of winning it. But we've had some name recognition problems. It's just - we're not under Gartner, you don't get there until you have revenue. And it's sometimes they go with the larger company, even if they're not - if our product outperforms them. They still kind of go with a company that's a multibillion dollar organization. We've seen that quite a bit actually. So we have over a dozen accounts now. So it's getting a little easier, but we're still not on that Magic Quadrant and when you get into our SIM product. They do a lot of - some of the organizations are looking for their Magic Quadrant, and we're not on yet. And we're talking to Gartner, but there's a lot to go through, and there's a revenue requirement. So it's a chicken and the egg effect how do you get on there unless you have revenue and how do you get the revenue if you're not on it. So - but it's our focus area it's just taking time.
Unidentified Analyst: Is the industry aware of the technology and as good as you think it is?
Victor Dellovo: We're providing as much information as we can to as many people that will listen.
Unidentified Analyst: Okay. The question is, can somebody larger do more with ARIA than what if you can't get in the door is the question.
Victor Dellovo: Yes, absolutely.
Unidentified Analyst: Okay. A couple of other quick questions, I didn't see anything about the share repurchase, the original 194,000 shares I think only something on the order of 20,000 or 22,000 has been repurchased. Is that correct?
Gary Levine: Yes, we didn't purchase any stock in there - in the quarter.
Unidentified Analyst: In the quarter anything, since the end of the quarter that you can discuss?
Gary Levine: No. Well, we're in that period where we can't - we couldn't buy.
Unidentified Analyst: Okay. Well again, it seems like with what you've outlined as far as the prospects and everything going forward, it seems like if you don't buy it now, you're not going to be able to buy it. Is that not the case? I know you want to keep the powder dry, but at the same time, it looks like there's huge upside for what you're doing.
Victor Dellovo: Yes absolutely.
Unidentified Analyst: Okay. Last question has to do with the dividend. You've never been in a better position, good cash position. Interest rates are up. So you hopefully are earning some - have interest income on the cash. And the dividend is 20% of what it was pre-COVID, pre-PPP. Any prospects there for raising the dividend?
Victor Dellovo: We talked about it at our last meeting, right? We decided right at this stage with some of the financing deals we've been doing with our customers to keep that sticky, we will - we're looking at keeping the cash at hand right at this particular point. Things may change in the near future.
Unidentified Analyst: Okay, all right. Appreciate it look forward to the next call. Thank you.
Victor Dellovo: Thank you.
Operator: [Operator Instructions] There appear to be no further questions in queue. At this time, I would like to turn the floor back over to the CEO, Victor Dellovo, for any closing remarks.
Victor Dellovo: Thank you. As always, I want to thank our shareholders for continued interest and support. We have now reported consecutive quarters of significant growth and momentum we are continuing to experience in the current quarter excites us for the remainder of the year. We have solid revenue conversion, strong pipeline in a product and service portfolio are generating favorable gross margins. Gary and I look forward to sharing our progress in fiscal 2023 second quarter operating results in May. Until then, be well and stay safe.
Gary Levine: Thank you.
Operator: Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.